Trond Johannessen: Good morning, and welcome to this presentation of Pexip's fourth quarter results. My name is Trond Johannessen, and I'm the CEO. Together with me here at Lysaker today, I have our CFO, Oystein Hem; and our Chief Revenue Officer, Asmund Fodstad. Together, we will take you through the highlights of the quarter and what we are focusing on going forward. The standard disclaimers apply as usual. First, a short overview of Pexip for those new to the company. Pexip was founded in 2012, and currently, we operate in 25 countries across the globe. We are a specialist video conferencing and infrastructure company focusing on interoperability and secure and custom meetings. We do software only delivered as a software or software delivered as a service. Pexip has unique and established relationships and partnerships with the leading companies in our industry. We complement and enhance their solutions and do not generally compete with them. Our customers are mainly large organizations in both the private sector and the public sector that have complex needs when it comes to video collaboration. The financial performance is strong and has been continuously improving over the last quarters. Now, to the highlights of the past quarter. Our annual recurring revenues, ARR, grew with USD 8.8 million during the quarter, and this gives us an ARR base of $131 million leaving Q4. This is the top end of the updated Q4 guiding we gave you in December. In Q4, we saw a significant improvement in the growth in Connected Spaces as a result of a couple of large deals that closed in the quarter. In our Secure and Custom business area, the positive development continues, driven by increased awareness around the need for secure and sovereign communication solutions. In Connected Spaces, we also see solid progress on our solutions for native rooms and the launch of Connect for Google Meet hardware in Q4 has been a success, both technically and commercially. EBITDA came in at NOK 94.2 million in the quarter and NOK 316 million for the full year. Free cash flow was NOK 71.9 million in Q4 and NOK 354 million for the full year. If we look at this Q4 performance in the context of the last 12 months, we see an accelerated development on all key parameters. Our total ARR continues to grow, and year-over-year, the growth rate was 16%. Our 12-month rolling EBITDA reached NOK 316 million, which is a 53% improvement since Q4 last year. This corresponds to a 26% EBITDA margin. And finally, the free cash flow in the last 12 months of NOK 354 million is 80% higher than at the same time last year. We take this performance as evidence that we are operating in attractive markets with relevant products and a strong market position. Pexip has 2 main solution areas. Pexip Secure and Custom is privately hosted video meetings that give complete privacy and data control with the desired level of customization. Pexip Connected Spaces is about video meeting interoperability by enabling any meeting room to connect to any meeting platform. Now, a few words about each of these business areas. In Secure and Custom, we are targeting a segment of the video conferencing market that is largely unserved by the major players like Teams, Zoom, Google and Webex. We are catering to those organizations that have limitations with respect to use of global cloud platforms like Azure, GCP or AWS. And consequently, they have a need for their conferencing software to run in controlled IT environments, either self-hosted or in private or sovereign clouds. This is a fast-growing market as a consequence of the geopolitical situation and the need to control data. Data sovereignty is increasingly relevant, in particular in Europe. Significant investments are being made in building sovereign IT infrastructure and solutions in many countries. Pexip has a unique position in this growing market with a modern and future-proofed solution that has the flexibility to be integrated and customized to the needs of the customers, while at the same time, being certified and tested to the highest standards in the market. Again, in this market, Pexip's offering is a secure video meeting platform that can be used exclusively or alongside, for example, Teams or Zoom. The solution includes security features such as tailored user authentication, clear meeting classification labeling and complete control over what data is stored and where. Integrating with chat is also an option. The Pexip platform can be installed in all relevant IT environments and gives complete control to the customers as no data needs to be shared with any external third parties. The secure meeting can easily be booked through the Outlook calendar or started through a chat session, exactly the same way as for Teams meetings. We're now starting to see that large organizations deploy more than one video meeting solution, and Pexip is very well positioned as a secure meetings alternative. Now to Connected Spaces. Here, we have basically completed the any-to-any vision and really deliver on the promise. In close partnerships with Google, Zoom, and of course, Microsoft, we provide the most comprehensive suite of interoperability solutions available in the market. In Q4, we launched a brand-new Connected Spaces product named Pexip Connect for Google Meet hardware. With this new product that we have co-developed with Google, all meeting rooms that have Google Meet hardware can now connect to Teams meetings with excellent quality. The market interest and resulting uptake is strong, and we have closed close to USD 1 million in new ARR on this product during Q4 alone. Now, let me leave it to Asmund for a more detailed sales update.
Åsmund Fodstad: Thank you, Trond, and good morning, everyone. Pexip delivered a strong fourth quarter, reinforcing our momentum across both Secure and Custom and Connected Spaces. For Secure and Custom, Pexip added USD 2.9 million in ARR and reached USD 56.3 million for the end of the quarter. It's a solid 25% year-over-year increase. Growing focus on sovereign IT solutions across Europe strengthened our position. And our solutions for defense, government and healthcare continue to be key contributors to our momentum in Q4 and beyond. In Connected Spaces, Q4 ended as an exceptional strong quarter for us. ARR grew by USD 5.9 million, reaching USD 74.7 million, a solid 10% year-over-year increase. Growth in this segment is fueled by major customer wins as organizations transition across video platforms and rely on Pexip to ensure a seamless, consistent user experience. Let's look at a couple of wins. This quarter, we had so many large wins that we decided to share more of them with you and as well address the commonalities that strengthen our relevance and competitive position. So, across our global wins in the last quarters, we see 4 growth drivers that contribute to our success. Number one, the acceleration of sovereign IT solutions and the increasing need for data control. Governments across Europe, the Middle East and Asia are increasingly selecting Pexip as their standard for secure internal and cross-agency collaboration. Let me just use a few larger win examples. A central European state IT provider now powers all intergovernmental communication with a self-hosted sovereign Pexip solution. In Southeast Asia, the Ministry of Defense of a leading nation now powers all critical collaboration with a modern, integrated complete collaboration solution from Pexip. The second trend, successful adoption of Private AI. Pexip continues to demonstrate strong net retention in the Secure and Custom segment. A key growth driver is our Private AI offering, which is gaining significant traction across justice and healthcare sectors globally. A great example is one of the world's largest healthcare organization who now adopted Pexip Private AI resulting in a 30% upsell within an already major customer for Pexip. And thirdly, Pexip's unique position for classified and mission-critical environments. Pexip secured multiple wins across classified networks in Europe as well as deployments at the highest U.S. impact classification level IL-7, underscoring our unique suitability for sensitive environments. A couple of large wins here as well. A Nordic nation now powers all their classified and above communication with Pexip solutions across intelligence agencies, Ministry of Defense and National Security. And a U.S. IT provider for defense, intelligence and national security environments is now enabled with Pexip at Impact Level 4 and above. And remember, Pexip is the only Microsoft certified vendor at IL-4, 5, 6 and 7 that can meet the strict security regulations of the U.S. government. And lastly, interoperability as a strategic differentiator. As enterprises and government institutions shift technology platforms, Pexip's ability to deliver a consistent user experience remains essential. And recent wins prove our relevance and long-term competitive strength. A couple of large wins. One of the world's largest technology companies now uses Pexip for Google Meet across thousands of devices and meeting rooms worldwide, as they changed the video technology platform to Google. Another example is one of the world's largest biotech companies who have used Pexip Connect standard for years and now transition to Pexip solution for their native rooms, as they have changed the technology for devices in their meeting spaces. These 4 drivers are core to what makes Pexip unique, and they explain why we continue to win customer after customer in both Secure and Custom and in Connected Spaces. And lastly, I wanted to point out, as we came into this year with a solid pipeline across both business areas, we expect sustained strong traction in 2026 and beyond. And with that, I will hand over to Oystein for the financial details. Oystein?
Øystein Hem: Thanks a lot, Asmund. For annual recurring revenue, as Trond mentioned, we increased our growth to 16% overall, up from 12% out of Q3. This is a combination of continued strong growth in Secure and Custom at 25% per year and Connected Spaces having a great quarter, delivering 10% growth year-on-year. The great growth come from customers in Enterprise, Government, Healthcare and Defense, and in particular, from the Americas. In terms of net retention and new sales, Connected Spaces saw an increase of 8.6% in the quarter, driven by strong new sales. The improvement compared to previous quarters was in particular from a couple of large customers that closed in the quarter. Secure and Custom continues to see strong growth, delivering 5.4% in the quarter and from a combination of strong new sales as well as positive net retention. Churn was slightly higher this quarter, as we saw a low renewal rate for support contracts in Asia that had an impact on churn overall. Such customers are a small part of our ARR base, hence, we expect this to be more of a onetime event. In terms of the P&L, recognized revenue came in, in line with last year. This is mostly due to the 10% decline in the U.S. dollar to Norwegian kroner exchange rate impacting our software revenues as well as a software deal slipping from Q4 and being delivered in Q1 of 2026. In U.S. dollar terms, revenue growth was 10%. For the year, revenue growth is in line with the ARR growth going into this quarter, while the contracts closed in Q4 will have revenue impact from Q1 and onwards. EBITDA increased in the quarter, benefiting from the same currency development, as it also reduces our costs. And for the year, we came in at an EBITDA margin of 26%, up from 18% in 2024. And the sum of our ARR growth and EBITDA margin is now at 42% for the year versus our long-term ambition of more than 40%. On costs, they were slightly down compared to Q4 of last year. Non-share-based salary expenses are down NOK 11 million, while share-based compensation is up NOK 9 million due to the share price increasing meaningfully during Q4. And other OpEx was down NOK 3 million. Looking at the year overall, Pexip increased our revenues with NOK 110 million and managed to convert 100% of that into incremental EBITDA. And this really shows the scalability of our software business, combining double-digit growth with good cost control. The EBITDA of NOK 316 million resulted in a free cash flow for the year of NOK 354 million, helped by a strong Q4. Q4 came in with a free cash flow of NOK 72 million, an increase of NOK 51 million compared to Q4 of 2024, with most of the improvement resulting from a better working capital development. Looking at the rest of the P&L, depreciation is in line with previous quarters and continues to be down year-on-year, while net financials is down compared to Q4 of 2024 due to lower gains on foreign exchange differences. In total, our profits before tax came in somewhat above 2024 with NOK 87 million. And to summarize the year, we grew revenues with 10% and had no significant changes to either of the cost categories above EBITDA. Depreciation is NOK 26 million lower, and hence, our EBIT margin has crossed 20% for the first time and came in at 21%. Lastly, an update on reporting. Pexip is currently reporting our annual recurring revenues in U.S. dollars as that is the primary currency we use with our customers. To make reporting more consistent and remove noise from currency fluctuations, we intend to consolidate all financial reporting using U.S. dollars in 2026, starting from Q1. We will provide pro forma historic figures for 2023 to 2025 in April, before the first report in the new reporting currency comes out in May. And with that, I hand it back to Trond.
Trond Johannessen: Thank you, Oystein. Yes, looking good. Well, looking ahead, we have described earlier that we maintain a positive market outlook based on the key trends we see in our markets and the unique technology, strong market position and the solid industry partnerships we have. The expectation now is that we will end Q1 with an ARR in the range of USD 133 million to USD 136 million compared to the USD 131 million we had leaving Q4. This expectation reflects that the positive trends we have seen over the last quarters, they are expected to continue or even accelerate. The financial ambition we have is to consistently deliver above Rule of 40 performance across ARR growth and EBITDA margin. And the last 12 months, as Oystein mentioned, we were at 42% on this parameter. Now to capital distribution. Pexip's dividend policy is to distribute 50% to 100% of free cash flow. For the fiscal year 2025, we recommend a dividend of NOK 4 per share, up from the NOK 2.5 we distributed last year. As for last year, this total dividend is a combination of ordinary and extraordinary dividend, 3 plus 1. As always, this recommendation is subject to AGM approval in April with payment likely to happen in May. We believe that even with this sizable dividend, the company maintains a solid financial position and the ability to go after both short-term and long-term growth opportunities. Finally, before we go to Q&A, our AGM will be on April 17, and the Q1 presentation is planned for May 5. Now, Q&A. Welcome back my friends.
Øystein Hem: We'll start with the questions from the analysts that are with us live, and we will start with Jorgen Weidemann from Pareto. Jorgen, can you hear us?
Jørgen Weidemann: Yes, as always. Congratulations on yet another solid quarter. So if I may start with your increase or your guidance on ARR for the next quarter, on the midpoint that assumes $3.5 million ARR growth, which is more or less in line with the performance you saw earlier in '25. And -- but you did increase guidance quite a lot going into this quarter. So I was just wondering, could you elaborate a little bit on what sort of contracts that made you lift guidance or actually made the Q4 2025 ARR so much better than what you expected in Q3 earnings call? What sort of contracts those were? And also, what sort of visibility you have on guide or on ARR guidance when you guide the next quarter, for example, now into next quarter?
Øystein Hem: Absolutely, Jorgen. So we try to give a -- the most realistic range that we see and with our best estimate as we stand here now being the midpoint of the range. And then, in Q4, in particular, we work with a number of large deals, and when, some of those hit and several of them land in the same quarter, that has a meaningful impact on the ARR development. And so instead of doing -- I think our midpoint was around $4 million, we delivered $8.8 million, which is obviously a significant beat in terms of incremental ARR. We always, in all quarters, work with large contracts. But then, also the larger the contract is the more difficult it is to make a meaningful range with sort of the outcome with it inside or outside. So there are at times sort of opportunities to go above the guiding range. But I think if you look at our track record for the past 12 quarters or so, we've been fairly consistent in landing roughly where we think we're going to land.
Trond Johannessen: And commenting on your question around the midpoint, 3.5% on the Q1 guiding, is meant to reflect sort of a positive view from our side as this is -- the midpoint is above what we delivered in Q1 last year, which I think was 2.5% or -- so we are kind of quite a lot, so Q1 is normally not a very strong order intake quarter. But this year, as you can see in the guiding, we are kind of seeing a more positive Q1 than we delivered last year.
Jørgen Weidemann: Great. And then also, if I may ask about costs. Once again, costs came in below our expectation, which obviously is good, but you keep the number of employees stable. And could you give some high-level reflections on when you believe you'll hit a size that makes the non-sales organization ripe for extra resources?
Trond Johannessen: Yes. We're constantly reviewing the need for people in all parts of the organization. We are investing in technology development. We are investing in sales resources where that is needed. And there -- I think we have said that we think we will leave this year with maybe around 300 employees, which is up a little bit from where we are now, basically continuing to fine-tune, continuing to invest where needed, but also look at reductions where we see that being appropriate. So I think possibly the mix of employees and where we invest and where we reduce will give sort of the net will be an increase, but not a huge one.
Jørgen Weidemann: Okay. Understand. And then finally, if I may. France now intends to ditch Teams in its government organizations and part of Germany has done the same earlier. So I was wondering if you could speak a little bit about changes you see in secure or geo-fenced video conferencing, and how you work to win contracts in situations like these when large countries are making such significant changes?
Trond Johannessen: I can start, and Asmund, you can fill in. But in general, it's a very positive development for Pexip, the fact that the countries in particularly in Europe are seeing a need for not always replacing 100% the U.S. cloud platforms, but having something in addition to have backup, to have business continuity, to have an alternative to a fully U.S.-based infrastructure. So you see some countries that are building their own. You see other countries that are kind of taking other approaches to meeting these requirements. But the most important thing is the total market is growing. And then, Pexip has a pretty unique position on the video side here with our video engine and video platform that nobody really can match when it comes to the technical capabilities around catering to all endpoints, bringing meeting rooms into the mix, solving all the more complex use cases beyond just point-to-point PC-to-PC communication. So I think you will see that Pexip will be complementing some of the kind of more basic video solutions in many of these sovereign solutions that are popping up all over. And we have a lot of discussions these days in many countries around how Pexip can support this development.
Åsmund Fodstad: Yes. I can add because I just came out of a meeting with one of the biggest ministries in France in Paris yesterday, and it basically confirms what you're saying. We have a very strong position with them. They might be forced into solutions on the desktop side, but again, just speaks to the relevance of sovereign solutions where they have complete control of the data. And then, it's hard for us to like what's really going to be the endgame here from a geopolitical standpoint. But all in all, this is very good news for Pexip.
Øystein Hem: Also, I think we have plenty of good examples that commercial off-the-shelf software tends to outcompete and source build-it-yourself solutions over time. But of course, customers will try different venues as they go along. Thanks a lot, Jorgen. Then, we will move on to Markus Heiberg from SEB. Can you hear us, Markus?
Markus Heiberg: Yes. So first one is on the Secure and Custom opportunities are obviously vast, but you have relatively stable growth quarter-over-quarter. When do you expect to see a sort of step up in that? Or do you expect to be at this pace? That's the first one.
Trond Johannessen: I think in dollar terms, the percentages get more and more difficult to kind of match as the numbers get bigger. But in general, I think we have seen an acceleration in the dollar growth quarter-over-quarter in the Secure and Custom area. And these are, as we have also said sometimes before, processes that do take a little bit of time. Typically, you can have 18-month sales cycles in the public sector when it comes to changing platforms, replacing or adding to these complex solutions. So we think it will be a stable development steadily, sort of increasing with sort of at least in dollar terms increasing quarter-by-quarter growth in Secure and Custom.
Markus Heiberg: All right. And then, maybe you can elaborate a bit more on the churn you saw in Secure and Custom this quarter is a bit higher than previous quarters.
Øystein Hem: Yes. So as I commented on, the underlying development is fairly similar to previous quarters. Then, we did see an increase in churn for support contracts in Asia, where we've had a somewhat increase over the past couple of years on perpetual customers within Secure and Custom. There, they buy perpetual software. So there's -- that's not recurring revenues, but they also buy support contracts that are subscriptions, which is part of ARR. We did see an increase in churn on those. That had actually a meaningful impact on the total churn that we saw. And one, that's a very small part of our overall ARR base, as you can see from the share of revenue overall in APAC. And so we -- I do consider that somewhat of a one-off. And then, we are looking at how we can counteract that by making sure that we have multiyear commitments from customers when they're starting with those type of platforms.
Åsmund Fodstad: And it's also been also kind of adapting to the HP partnership, where this is the model that they've been selling into Asia. And of course, we are trying to then just be complementary to them and make sure that we get into these customers. So we do also see a potential upside future here with these clients, but this hit us in Q4.
Trond Johannessen: But generally, very, very sticky, the business we have in Secure and Custom. When you have implemented Pexip as a Secure Meetings solution, we have seen very few examples of organizations that are -- that replace us with something else.
Markus Heiberg: And the final one for me is maybe on AI, and how you think about that across your offering now with a lot of new tools being released over recent months and the whole software sector is rethinking opportunities and risks, I would say? So how have you been thinking about this lately? And do you see any risk in, for instance, interoperability software that, that could be an area where, yes, things will change?
Trond Johannessen: So I think the headline here is that we see more -- we see a lot of opportunities with AI for Pexip. We see the need for private AI solutions, the fear of data being lost, data being misused by large -- from large organizations that would like to have AI functionality, but that are afraid of what happens to the data. So we get inbound calls almost on a daily basis on this topic. So the way we provide AI in a private controlled context is really in demand these days. And that will continue to grow. And we see the upsell that was mentioned today by Asmund, it was a 30% upsell on an existing customer because they deploy AI functionality into their meeting solution. And then, to your second part of your question, can Pexip be replaced by AI? Obviously, anything could happen. But on the interoperability side, it's difficult to see how that would happen. A lot of the -- most of the APIs and SDKs that are being used to provide the interoperability solutions we have are not really well documented and available externally. And second, it has to do with certifications and approvals and partnerships with all these large technology companies, Teams, Zoom and so on and -- Google and so on, right? So even if AI would be able to make a solution, it wouldn't necessarily be able to be used because of the blocking or lack of approvals from one of these large organizations. So in that area, not particularly concerned. When it comes to can we use AI to more quickly create an alternative to Pexip in the market because you use AI to code faster or make solutions faster than before, obviously, but we can do the same, right? So we also use AI actively to bring technology to the market faster and be more competitive in that respect. So I think it's -- at least it's a balanced picture and not something that we're losing a lot of sleep over these days.
Øystein Hem: Thanks a lot, Markus. Then, we will move over to e-mail, where we received a question from an investor on how is the release of the interoperability solution between Microsoft Teams and Google Meet hardware impacting Pexip? And so Pexip launched a product for Google Meet hardware in October, where we provide a premium interoperability between the Google Meet hardware device into a Microsoft Teams Meeting. That was -- Google and Microsoft introduced a direct guest join alternative now in February, which is the same sort of base level interoperability as you have with, for example, Zoom Rooms into Microsoft Teams or Teams Rooms into Microsoft or Teams Rooms into Zoom. So with this, our Google offering is in the same way as a -- our offering for Zoom Rooms, a premium interoperability solution that will have the sort of key features that you require so that your video room works well. But then, there is also a basic option for those that don't really have a lot of meetings on other platforms. So we think that we will have a good competitive position on Google Meet hardware as well, and then, we've enjoyed the first quarter of being the only solution, but that was never the long-term picture.
Åsmund Fodstad: And to quote Google themselves, they referred to Pexip as the premium solution, right? So we have good -- still good traction with those opportunities.
Øystein Hem: That concludes the Q&A session for this quarter. And thank you for watching, and see you again in 3 months.
Åsmund Fodstad: Thank you.
Trond Johannessen: Thank you.